Operator: Good morning. My name is Phyllis, and I will be your conference operator today. At this time, I would like to welcome everyone to The Hershey Company's Second Quarter 2013 Results Conference Call. [Operator Instructions] Thank you. Mr. Mark Pogharian, you may begin your conference.
Mark K. Pogharian: Thank you, Phyllis. Good morning, ladies and gentlemen. Welcome to The Hershey Company's Second Quarter 2013 Conference Call. J.P. Bilbrey, President and CEO; Dave Tacka, Senior Vice President and CFO and I will represent Hershey on this morning's call. We also welcome those of you listening via the webcast. Let me remind everyone listening that today's conference call may contain statements which are forward looking. These statements are based on current expectations, which are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements because of factors such as those listed in this morning's press release and in our 10-K for 2012 filed with the SEC. If you have not seen the press release, a copy is posted on our corporate website in the Investor Relations section. Included in the press release is a consolidated balance sheet and a summary of consolidated statements of income prepared in accordance with GAAP. Within the Notes section of the press release, we have provided adjusted pro forma reconciliations of select income statement line items quantitatively reconciled to GAAP. The company uses these non-GAAP measures as key metrics for evaluating performance internally. These non-GAAP measures are not intended to replace the presentation of financial results in accordance with GAAP. Rather, the company believes the presentation of earnings, excluding certain items, provides additional information to investors to facilitate the comparison of past and present operations. As a result, we will discuss 2013 second quarter results, excluding net pretax charges of $6.6 million or $0.02 per share diluted, primarily related to the costs associated with the Project Next Century, non-service-related pension expense and acquisition and integration cost. Our discussion of any future projections will also exclude the impact of these net charges. With that out of the way, let me turn the call over to J.P. Bilbrey.
John P. Bilbrey: Thanks, Mark, and good morning to everyone on the phone and webcast. I'm very pleased with Hershey's second quarter results. Net sales accelerated, plus 6.7%, generating adjusted earnings per share diluted of $0.72. We have momentum in the U.S. in key international markets, where our net sales growth in retail takeaway is exceeding category growth. In the U.S., with the exception of gum, the chocolate, non-chocolate and mint segments, increased at the high end of the historical category growth rate. This is driven by the rational investments we continue to see by most major manufacturers in the form of advertising, innovation and brand building initiatives. As it relates specifically to the Hershey products, Brookside and our new Kit Kat Minis are performing very well with trial and repeat ahead of our initial estimates. The U.S. is a growth market for the confectionary category, and we would expect that to be the case going forward. We believe retailers and consumers will continue to value the category, given its impulsivity and affordable price points. Now for some details on our overall marketplace performance. In the second quarter and year-to-date period, we essentially gained market share in every channel and segment where we compete: chocolate, non-chocolate, mint and gum. Nielsen's second quarter measures do not encompass the entire Easter season in both the year ago and current periods. Therefore, the majority of my remarks today will refer to the year-to-date marketplace performance for the 24 weeks, ended June 15, 2013. Total Hershey's CMG, that's candy, mint and gum, retail takeaway for the year-to-date period through June 15, 2013 in channels that account for about 90% of our U.S. retail business was up 6.8%, resulting in a market share gain of 1.4 points. As a reminder, this represents xAOC+C-store data consisting of the food, drug, MassX and C-store channels, plus the inclusion of Walmart and partial Dollar, Club and Military channels. Year-to-date, CMG category growth in the xAOC+C channels was up plus 2.1%. However, similar to 2012 and 2011, gum continues to be a drag on the total CMG performance and excluding it the category was up 3.7%. We're very pleased with the chocolate category performance specifically, year-to-date xAOC+C chocolate category growth was plus 4.0%. Hershey's xAOC+C chocolate retail takeaway was 7.1%, resulting in a gain of 1.3 points of chocolate market share. Core brands such as Hershey's, Reese's, Kit Kat, as well as Brookside, all gained share. Year-to-date, non-chocolate candy xAOC+C category growth was plus 2.5%. Recall, NCC year ago performance was exceptionally strong due to innovation that launched in the first half of the year and a longer Easter season. Additionally, in 2013, there's more chocolate activity than there is in NCC. Hershey's xAOC+C 2013 year-to-date non-chocolate candy retail takeaway was up plus 2.2%, essentially in line with the NCC category and our forecast. Our performance was impacted by the year-over-year timing of the significant Twizzlers promotion at a major retailer last year, as well as 2013 NCC innovation, which is only available in take-home pack types. As I'll detail in a minute, we have activity over the remainder of the year that will continue to drive strong results. Looking at the FDMx channels, Hershey year-to-date CMG marketplace performance was solid. Our retail takeaway of market share was up within all 4 segments and all 3 channels. Specifically, our year-to-date FDMx retail takeaway increased plus 4.8%, resulting in a market share gain of 1 full point. In the C-store class-of-trade, where the Easter impacts are minimal, CMG category growth accelerated in the second quarter and was up plus 4%, driven by mid-single digit percentage increases in chocolate, non-chocolate and mint segments. Similar to the last few years, the chewing gum category continues to struggle and declined minus 6.4% in the C-store channel in Q2. Total Hershey's C-store performance was strong with Q2 retail takeaway, up 10.6%, resulting in a market share gain of 1.9 points. Our C-store chocolate and mint retail takeaway was particularly solid, up plus 13.6% and plus 12.3%, respectively. These gains were driven by core brands that were supported by advertising, in-store selling, merchandising and programming. In the U.S. marketplace over the remainder of the year, we have many exciting products, promotions, programs and merchandising in place across all channels. Some of these include in-store merchandising and programming, as well as high-value coupons, promoting S'mores, Summer Fun, as well as the celebration of National S'mores day on August 10. A promotion with pop band, Gym Class Heroes, will rerecord 5 iconic summer songs, downloadable for consumers of Twizzlers and Jolly Rancher. The continued new product rollout in support of Kit Kat Minis in a stand-up pouch and king size offering. Our Reese's promotional tie-in with NCAA college football and strong plans for successful Halloween and holiday seasons. Brookside is tracking well, and there is full year launch support, including TV advertising, FSIs and sampling. Focused in-store execution by our U.S. sales force in the first half of the year enabled us to reach our distribution targets, although merchandising and programming are slightly below plan, as we manage inventory to ensure product presence in all targeted stores. Importantly, repeat purchases are tracking ahead of our plan. Brookside has been a benefit from a financial marketplace perspective. It's accretive to earnings, exceeding our acquisition model and has contributed about 1/4 of Hershey's year-to-date CMG market share growth of 1.4 points. We continue to anticipate that Brookside will be about 1 point of total company sales growth in 2013. Additionally, work is underway to determine opportunities outside the U.S. and Canada. Grounded in consumer insights, validation work has begun in select geographies to determine which countries offer the greatest payback and the timeline for entering these markets. Outside of the U.S., our international business was relatively in line with our forecast. China, Mexico and Brazil were standouts, with net sales up solid double digits on a percentage basis versus last year. The chocolate category in China continues to grow and is up plus 11% year-to-date. The category is developing nicely, with instant consumable and take-home pack types accelerating and outpacing gifting. Hershey retail takeaway is tracking as expected, and similar to the last couple of years, our chocolate business should grow at least 4 to 5x greater than the category growth. For Nielsen, our national share has increased and is just above 7%. We have merchandising, programming and innovation throughout the year, and believe we're well positioned to build on our momentum. Hershey's Kisses Deluxe and Hershey's Drops are scheduled to launch in Q4 and earlier this month. We began a soft roll out of our new Lancaster brand in China. Recall, in May, we announced the launch of Lancaster-branded milk candies. The milk category is about 1/4 of the total NCC market in China, roughly $1.2 billion. The premium segment within the milk category is growing 20% to 25%. We believe Lancaster will be successful, as it features a unique slow roasting process that requires high-quality milk and slow cooking, resulting in a distinct rich, creamy flavor. In Mexico, we continue to see strong growth in the Hershey's and Kisses franchises. In the modern trade, our year-to-date chocolate retail takeaway was almost double the category rate, resulting in a market share gain of 1.2 points. The Hershey's brand continues to perform well and Kisses had a standout quarter, driven by solid Mother's Day gifting. Consumer testing and validation on Reese's and Jolly Rancher is progressing as planned, and should be a future enabler as we track towards our 2017 goals. In Brazil, Hershey bars and tablets are ahead of plan and Hershey's Mice is on track versus our targets. Category growth and Hershey takeaway is up low double digits year-to-date. We have plans in place that give us confidence that our momentum will continue over the remainder of the year. And in Canada, we continue to build on our momentum as our CMG market share increased 0.4 points for the year-to-date period. Our Chocolate business gained plus 0.2 points, driven by Hershey's. Our sweet and refreshments market share increased 0.8 points, driven by Jolly Rancher. This brand has tripled the its household penetration over the past 3 years due to innovation, advertising, merchandising and programming. Now to wrap up. We're fortunate to be stewards of iconic brands that consumers love and trust. Confectionary is an advantaged category, is highly impulsive and is a destination category, especially in the second half of the year. It's expandable and profitable for the retailer and affordable for the consumer. Our commitment to the category and our execution of both headquarters and store level has resulted in strong results, positioning us to deliver another solid year. Over the remainder of the year, we have solid merchandising and programming in place to drive core brands and new products in both U.S. and international markets. Halloween orders are on track, and we have the right mix of seasonal-specific advertising, coupons and programming support that sets the stage for another winning season. Therefore, in 2013, we expect net sales to increase about 7%, including the impact of foreign currency exchange rates. We have good visibility into our cost structure, and expect to achieve adjusted gross margin expansion of 220 to 230 basis points. This is enabling us to continue to make SM&A investments across our business in both U.S. and international markets. As a result, we anticipate 2013 adjusted earnings per share diluted growth of about 14%. I'll now turn it over to Dave, who will provide you with the financial details.
David W. Tacka: Thank you, J.P., and good morning, everyone. Hershey posted strong results again in the second quarter. Consolidated net sales of $1.5 billion were up 6.7% versus last year. Adjusted earnings per share diluted of $0.72 was up 9.1% versus 1 year ago. These results were slightly better than our expectations due primarily to strong retail takeaway and gross margin gains. J.P. provided details related to our marketplace performance. So I'll now focus on the review of the P&L, balance sheet and cash flow. As expected, second quarter net sales were driven by volume increases, a 6.6% benefit, including 1 point from Brookside products. Foreign currency impact was relatively neutral, with a 10th of a point benefit. The U.S. and Canada businesses provided about 85% of our net sales growth in the quarter. International sales, excluding Canada, were up 8%, and not an accelerator of sales growth in the quarter, primarily as a result of the seasonality of the businesses. Turning now to margins. In the second quarter, adjusted gross margin increased 290 basis points, driven by lower commodity costs and a more profitable sales mix, together with solid supply chain productivity and cost savings. Volume gains were a bit higher than our estimates, resulting in improved fixed cost absorption. Input cost deflation of about $29 million was slightly greater than our earlier estimates. For the year, we now expect adjusted gross margin of 220 to 230 basis points, which is greater than our previous estimate of 190 to 210 basis point increase. The improvement compared to prior estimate is primarily the result of an improved sales mix and higher productivity. There is no significant change from input cost deflation. Adjusted EBIT increased 11.5% year-over-year and the EBIT margin of 18.3% was 80 basis points higher than the second quarter of 2012. These increases were primarily driven by the gross margin improvements. SM&A expenses increased 14.8% versus last year as a result of increased advertising spending and higher SG&A spending. SG&A spending, which excludes advertising, increased about 12% in the quarter, relatively in line with our forecast. For the full year, we continue to expect that SG&A expenses on a percentage basis will increase at a greater rate than net sales growth. This spending, which includes staffing increases to support our global growth, as well as investments in market research, category management and selling and marketing capabilities in both the North American and International markets will benefit the company both in the near and long-term. From a timing perspective, we expect the Q3 increase over the prior year to be around 20% and the Q4 increase to be mid-single-digits, given the prior year's stepped-up spending in the fourth quarter. Advertising expense increased about 22% in Q2, in line with our forecast. For the year, we continue to expect advertising expense to be up about 20% versus last year. This increase continues to support our core brands, as well as the Brookside rollout and innovation. Advertising expense outside of North America is expected to increase 45% to 50%, primarily targeting brand building in our focused markets. Now let me provide a brief update on our international business. International net sales, which exclude Canada, increased about 8% in the second quarter. We continued to make progress in our focused markets, which achieved combined top line growth of around 15%. This growth was driven by strong core brand performance, primarily Hershey's and Kisses, and was in line with our expectations. We remain committed to these markets and will continue to make the necessary investments to build brand equity and drive trial and repeat purchases. We expect international sales to accelerate over the remainder of the year, given new product launches, core brand growth in focused markets and increasing velocities in the export markets that we entered last year. For the full year, based on current exchange rates, international sales are expected to increase 15% to 20% and are tracking to achieve the $1 billion in net sales target that we have for the end of 2014. Moving down the P&L. Second quarter interest expense of $21.1 million declined slightly versus $24.3 million last year. In 2013, we continue to expect interest expense to be approximately $90 million to $95 million. We continue to expect the full year adjusted tax rate to be about the same as last year. The tax rate for the second quarter was 35.7%, in line with our estimate and greater than the year-ago period of 32%, which reflected the timing and settlement of various tax matters. In the second quarter of 2013, weighted average shares outstanding on a diluted basis were approximately 227 million shares versus 229 million shares in 2012. Let me now provide a quick recap of our year-to-date adjusted results. Net sales for the company increased 6% in the first half. Adjusted EBIT increased 10.2%, resulting in an adjusted EBIT margin gain of 70 basis points. Advertising increased 22% on a year-to-date basis, relatively in line with the percentage increase forecasted for the full year. Year-to-date adjusted gross margin was 47.1% versus 44.5% last year, a 260 basis point gain driven by lower commodity costs, supply chain productivity, favorable sales mix and fixed cost absorption. Adjusted earnings per share diluted in the first half increased 12% to $1.81 per share. Turning to the balance sheet and cash flow. Net trading capital was $25 million lower than last year's second quarter, primarily because of higher accounts payable. Accounts receivable was higher by $13 million as a result of the increased sales and the aging of accounts receivable remains extremely current. Inventory balances were lower by $13 million. In terms of other specific cash flow items, total company capital additions, including software were $65 million in Q2. These amounts included Project Next Century capital expenditures of $4 million. In 2013, we expect capital additions to be approximately $320 million to $330 million. Depreciation and amortization was $50 million in the second quarter. In 2013, we are forecasting total depreciation and amortization of about $200 million to $210 million. Dividends paid during the quarter were $91 million. During the quarter, we repurchased approximately $102 million worth of our common shares to replace shares which were issued primarily in connection with stock option exercises. All shares were acquired in the open market. Cash on hand at the end of the second quarter was $568 million, relatively consistent with the prior year. The company continues to generate substantial free cash flow and has a strong balance sheet. As stated in this morning's press release, we have increased our dividend by 15.5% to a quarterly rate of $0.485 per share. The increase will put us more in line with our targeted dividend payout rate of about 50% for the 2013 fiscal year. The action reflects our confidence in the long-term growth potential of the business. Now let me summarize. Our U.S. marketplace performance in measured and non-measured channels is tracking a bit better-than-expected. We believe we'll maintain our momentum over the remainder of the year, driven by advertising, in-store merchandising and programming of core brands and new products in both the North American and International markets. As a result, we now expect 2013 sales growth of about 7%, including the impact of foreign currency exchange rates. We have good visibility into our full year cost structure, and there's no material change to our input cost outlook for the year. Given our strong first half results, we are now forecasting full year adjusted gross margin expansion of 220 to 230 basis points. Advertising will be up about 20% versus last year, supporting core brands, Brookside, and innovation in both the U.S. and key International markets. For the full year, we continue to expect SM&A, excluding advertising, to increase at a rate greater than net sales as we expand global go-to-market capabilities. Therefore, we now expect full year adjusted earnings per share diluted growth of about 14%, an increase from our previous estimate of 12%. We'll now open it up for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Jonathan Feeney with Janney.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: J.P., I just have one question about the competitive landscape. There's been a number of pretty interesting new products, particularly, I'm referring to Snickers and Milky Way bite-size items, as well as other innovation in the category broadly. Could you comment on what kind of interplay you're having with the category right now, having told us that data, what effect that kind of competitions had on the category, is it growing it, is it not growing it? And then more broadly, if it is growing the category, all these new spending and innovation, where does candy stand right now relative to other sort of more ancillary competition at the front end of the stores sort of other snacking categories, what interplay is happening there?
John P. Bilbrey: Yes, sure. Jonathan, I think that part of the magic of this category, of course, is the expandable consumption. So the fact that we're seeing quality innovation across the category, continued investment in advertising and promotion to support innovation, the category has cycled pricing, I think, quite well. I think all of those things are certainly good for us. As we see the categories resiliency across total snacking, we continue to feel very, very good about how the category is behaving and the quality of the activity in the category. So going forward, we're quite positive.
Operator: Your next question comes from the line of Bryan Spillane with Bank of America.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: Just wanted to ask a couple of questions around the international business. So I guess, 2 things. One, if you look at the results with the focused markets up 15, but total international sales up 8, if you could just sort of bridge for us the difference between the 15 and 8. And then second, if you could just comment on in the focused markets, how much of the revenue growth is volume versus pricing? So are there any other price increases that you're taking in those markets?
John P. Bilbrey: Yes, and I'll start with the second part of your question. So as most of these -- a lot of our growth there is really around expanding items. So price doesn't play the same kind of additive effect it might in another markets because you're introducing these new brands at a price point people are seeing for the first time. So it really is about gaining distribution, volume, and then of course, getting sales against those businesses. In Q2, we saw a little bit lumpier business around between our export businesses and our focus markets. And in our focus markets where we're advertising and putting a lot of effort, we felt terrific about our progress there. You heard my comment on China so you can kind of do the math on your own if the category is growing at 11% and we're growing at 4 to 5x the category. That's a pretty strong number and -- so in those markets, we continue to feel quite good about the progress.
Operator: Your next question comes from the line of Alexia Howard with Sanford Bernstein.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: A couple of questions on 2 different topics. Convenience stores have obviously been quite an important feature over the last several years. Could you just remind us of what the current convenience store share is in the U.S. versus the non-c-store share? And how much more room for expansion is there in that sector? And is that still significantly more profitable than the regular grocery channel?
John P. Bilbrey: So I'll start with just saying that -- because of the product mix in the C-store channel, we -- with it being into consumables, the profitability of that is very important to us. So from that standpoint, C-store is really good. On the chocolate business in C-stores, we have over a 50 share of the category. So our brands are quite strong there, and we continue to see good performance across the C-store channel. So in 2Q, where you don't have the influence of seasonality and so forth, our share was up across total CMG about 10.6%. Chocolate was up about 13.6%. So that segment for us continues to perform well. And the biggest observation, I would just tell you about the C-store, that whenever I meet with the operators, is that the total mix of their store continues to evolve as they increase the selection they have, and that's been, I think, a positive thing to keep people coming into the stores. And so in our category, we remain on the menu of people that come into the store despite the fact that they are increasing their selection. So I think, again, it just shows the resiliency of the category.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: Great. And then I have a quick follow-up. Where are you tracking at the moment in terms of new products as a percent of sales? And are you at your long-term goal at this point? Or do you expect it to go higher over time?
John P. Bilbrey: Well, Alexia, we've been very pretty fortunate here. As we said we want innovation to be about 1 point of our total growth on an ongoing basis. And as we were talking here, we think Brookside is an example, by itself, will be about 1 point. So innovation has been important to our overall growth over the last several years. And while you may see us do different things, our real focus is on trying to be very, very consumer-centric, do fewer, bigger, better innovation initiatives that will be sustainable. So again, I want to innovate -- I want to emphasize, it's not how many things we do as much as it is how successful are the things that we do.
Operator: Your next question comes from the line of Chris Growe with Stifel.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: I have just 2 quick ones for you. I want to be clear on kind of the phasing of the gross margin for the year. You've had a great performance year-to-date. Your full year guidance assumes it comes down a little bit in the second half of the year, but that is the pace. I'm just curious, anything we should be thinking about in relation to that, the way the cost inflation phases or anything you could add to that?
David W. Tacka: Okay. Sure, Chris. The thing to think about there is as we said earlier, our productivity, particularly the savings around some of the last of the next century savings, was a bit phased earlier in the year. And so we had that, and we'd been expecting that it would be a little bit lower in the back half of the year, and we still expect that. The overall increase is really a function of some of the sales mix improvements that we've seen, and we are getting a bit more productivity. From an input cost standpoint, as we've said, we have good visibility of our input costs and really don't expect that to be changing from what we were expecting in the back part of the year.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: Okay. If I can have just one quick follow-up, and then just in relation to Brookside, as you've launched that product now across the country, is the -- I'm just curious about kind of the way that the growth is occurring, or the penetration is occurring by channel. So I'm just curious at the C-store performance versus, say, the grocery mass performance for that brand.
John P. Bilbrey: Well, during the introductory period, we haven't focused yet on C-store. You may find it in a C-store, but it hasn't been a big focus for us yet. It certainly will be, but we've seen great response to the product across channels. As you know, in the early life of that brand, it was more in club stores. It had some penetration at grocery, but our distribution capability has now made the brand broadly available. One of the things that we talked to you about earlier is, is that we doubled our capacity, but you have to remember that capacity doesn't come online on the first day. So some of the, I'll call it, pacing of depth of merchandising that we had anticipated, we've had to balance and pace a little bit differently just because the repeat has been very good. And then while we don't have a full set of data yet, given just the timeline of the product, very importantly for all the marketers is the repeat of repeaters. And I know it always sounds a little bit funny to say that, but repeat of repeaters is really exceeding our expectation and we feel quite good about that as well.
Operator: Your next question comes from the line of Andrew Lazar with Barclays.
Andrew Lazar - Barclays Capital, Research Division: You talked about getting to the upper end of the 5% to 7% top line target for this year, and you've said that Brookside will continue to be at about a 1% contributor. So in terms of the base business, is it that the category overall has accelerated beyond what you had thought originally? Or is it more a matter of just the share gains you've been taking and expect to take for the balance of the year are greater than you'd forecast? And then I just have a follow-up.
John P. Bilbrey: Sure. Andrew, I think it's actually both. I think the category continues to perform well because, broadly, manufacturers are investing in the category in a very positive way. And as you said earlier, advertising, innovation, et cetera, seems to be working well for everybody. So we would continue to believe that the potential for quality results around good growth for both the retail and ourselves. We're quite optimistic for that.
Andrew Lazar - Barclays Capital, Research Division: And then it's way early, obviously, to start talking about '14 with any kind of specificity, but just from an input cost standpoint, would it be fair to say that on certain key inputs that you do typically have the ability to have more visibility around for a longer period of time that you're starting to get a bit of visibility, at least, around where things might shake out from a cost standpoint in '14 at this stage?
David W. Tacka: Andrew, as we've said, our strategy is basically we can -- where we can, we'll take coverage anywhere from 3 to 24 months. And so certainly, we are working through our normal process. We're reviewing the markets and beginning to lay in to establish our cost visibility for 2014.
Operator: Your next question comes from the line of Matthew Grainger with Morgan Stanley.
Matthew C. Grainger - Morgan Stanley, Research Division: Can you talk just a bit more about the scope of the opportunity for the Lancaster product in China? I know it's very early days so there's limited amount that can be said, but can you give us a sense of what level of distribution relative to the existing products that are in the market you'd expect to be reaching by year end or within sort of an 18-month time period?
John P. Bilbrey: Yes. So as you know, we're continuing to grow our distribution capabilities all the time in China. We estimate today that the milk candy segment in China is about $1.2 billion. Today, we'll target largely the modern trade with the Lancaster product, but we also believe it should have legs with deeper penetration, and as an example, you might think of chocolate. So as we bring what we believe is a high-quality innovation to that milk candy segment, it should be good for us financially, as well as offer the consumer something unique versus what's available in the marketplace today. So we think that if we get the communication right, we believe we've got the taste texture profile right, and it's a bit of a soft launch. So we're expanding in a few cities first. It's a slow build. So I think what you'll see to part of your question is, really, '14 will be a much stronger push for us on that product. So it will be somewhat of a slow build early on. We hope to learn with that, but so far from what we've done, and this is a product, by the way, remember, we now have an R&D facility in China, and when the China R&D folks were here in the U.S., integrating into our R&D center here, that product was developed here, but it's really got developed by our China team. So we think this is -- this one has a lot of potential for us.
Matthew C. Grainger - Morgan Stanley, Research Division: Yes. And just very quick follow-up, with respect to the soft launch, I guess, does that imply that you're going to wait a while before doing any sort of broad-based awareness building advertising?
John P. Bilbrey: Well, I think once we feel is that we have the right level of distribution in those cities where we have the brand available, we would probably look at advertising.
Operator: Your next question comes from the line of Eric Katzman with Deutsche Bank.
Eric R. Katzman - Deutsche Bank AG, Research Division: I guess, 2 quick ones. One, when you talk about the export markets being down, I realize it's probably pretty small, but is that a function of the India business and the anniversary of that JV not working out or...
John P. Bilbrey: No. Eric, it really has to do with what we would call unstructured versus structured markets. So exports in the structured markets is where we would be planting a flag, call it, where we would anticipate expanding a business in the future, and unstructured is really more where our brands are available because there's distributors or people who have kind of pull on that. And it really was more around those unstructured markets, where there were just some things that didn't repeat themselves that were in the base. So if you look at our total export business or if you look at that total international business, sorry, probably about 1/3 of that is the export piece, and then that's split again one more time between structured and unstructured. And so, again, I would just come back to the way I looked at it was the real focus markets that we had, we felt very good about the results we got.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. And then just kind of a bigger picture, longer-term question, Mondelez's CFO at our conference in June pretty much kind of like his statement, and maybe you read it in our report, was regarding emerging market investments and spending or M&A, what have you, his quote was "The time is now and the window is closing." How do you -- like how do you think about that within the context of competition increasing in those markets for either local assets or share gains, and I think the company's obviously done far better than it's ever done in getting into the international marketplace. So for you, is it -- this is just absolutely critical and even if others do some irrational stuff around share, you just -- you have to answer? I mean, how do you -- how do we think about comments like that?
John P. Bilbrey: Yes. Eric, I really think about the quality of the activities we have as being important. So as we look at assets, it really has to be the right assets versus just racing to have something. And we've really learned over time that if we don't execute against our basic business model that we're succeeding behind in each of these markets, we just don't do that well and you don't have a sustainable position. So I actually believe that for us, it's so important that we continue to respect the fact we've got this very, very precious North American business, which is a real engine for us. We don't want to get out of balance or ahead of ourselves in a way that we can't recover. And so just as you look at our approach in China, while I always have urgency to go faster, I don't ever go faster than I think we can execute against our model. And because for us, that's all real net growth, doing it well and having a business that when we come out of invest mode or get more into a going-type operation, we can make money. So I'm far more interested in the quality of our expansion than I am the quantity of the expansion. And I'll just take advantage of this time to remind us that there's probably some legacy businesses that we felt pretty good about not participating in around the world. So for us, I think you'll continue to see a real focus on trying to get it right. We've got a lot of work in front of us. We think we're in the right markets. And when we get those right or we think there's opportunity, we'll expand but we'll do it in a way that we can continue to deliver over time quality financial results.
Operator: Your next question comes from the line of Robert Moskow with Crédit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: I want to know, on Brookside, one of the surprising things for me is that it's a product that no one else seems to be copying right now. I don't see it in any other brand names, and it's really good dark chocolate over some pretty sharp flavors of fruit. And I wanted to know, how big of a market do you think you're really targeting here in terms of consumers? Like if Hershey chocolate targets just about everyone, it seems -- this seems to be a smaller subset of that market because the flavors are pretty sharp, and to be fair, it creates some mouth fatigue, some of the flavors create some mouth fatigue because they are sharp, and I want to know, do you think of it is as a niche category or do you think of it as a really broad category in terms of when you do your consumer work?
John P. Bilbrey: Yes, we actually think of it as a fairly broad, appealing brand both geographically, as well as within the demand landscape. So you have a couple of things going for this brand. You have the hand-to-mouth occasion. You have the halo effect of the anti-oxidant value of dark chocolate, and then the super fruit packed in the centers that consumers -- that resonates with consumers. So we think it's in a unique position across the landscape, and we also have a point of view that the positioning in concept could be broad. And so we always are asking ourselves, where could you go with this? Now that's definitely out in front of us. We have to succeed with the base proposition and define with the consumers what Brookside stands for, but we internally are quite encouraged by what we think is possible with this brand with all the consumer research that we've done. So that's how we think about it.
Robert Moskow - Crédit Suisse AG, Research Division: So you haven't heard any consumers coming back to you saying some of the flavors are sharp, and as a result, you can't pop into your mouth on an ongoing basis. It's not an issue for people?
John P. Bilbrey: Well, the good news is, is that, so far, it appears like people are -- to use your words, popping it in their mouth pretty broadly, and so that's what we would hope would continue to happen. As we look -- but more seriously, as we look at our likes and dislikes in consumer complaints and things like that, it's simply not something we've seen so far, but -- and hopefully, we don't, and we think, over time, there's the possibility to expand across other types of flavors and so forth. And we have a new initiative that will be coming up that you'll see in 2014 that begins to look at different types of centers and things around that same brand concept. So good heads up. We obviously have all of our antenna up -- but so far, that hasn't been an issue.
Operator: Your next question comes from the line of David Driscoll with Citi Research.
David Driscoll - Citigroup Inc, Research Division: Wanted to ask a little bit more about the strength in the U.S. portfolio. Maybe there's kind of 2 questions wrapped up here into this question on the U.S. second quarter results. Our measured channel data was certainly indicating, I think something of a little bit stronger than what you reported. And I think this is just going to be the difference between shipments and retail sell-through, but if you could make some comments on that, that would be important. And then related to this overall strength in the U.S., frankly, we've seen something in our data that I just haven't seen in a long time with GOODBAR, HEATH, SYMPHONY and other brands that are kind of down the list of the big guys performing extremely well. Can you talk about execution and sustainability?
John P. Bilbrey: Yes, so first of all, I think a couple of the comments you've made are probably directionally correct. We're seeing that our U.S. business contributed about 80% of the total net sales growth in the quarter. And what was very encouraging about that is the core brands performed very, very well in addition to what was occurring on our innovation. So really, we were hitting across all cylinders. If you recall, Dave, we had talked about how we've been rotating advertising support across some of those portfolio brands that we have that, I think, in years past, just because our overall approach, we weren't able to get much attention. And those brands, they typically have limited numbers of SKUs. They're really nice sized businesses, and they've responded very, very well to advertising. So I think our approach about rotating advertising across those brands, giving them some attention, is really what you're seeing that's causing some of that nice performance. And then again, we've continued to invest in our selling capabilities, and we've been very focused against having the common distribution, I'll call it, across more SKUs, across smaller retail outlets versus maybe sometimes seeing a mix of that distribution so -- that you'd see a more focused effort against what's in the store and then how we activate it is more broad than had been historically, and that's part of what's helping drive our business.
David Driscoll - Citigroup Inc, Research Division: It sounds like top-notch execution. One final question -- go ahead, I'm sorry.
David W. Tacka: I was just going to address your question with respect to the retail movement versus our factory sales. And you're right, there's a timing difference between that, but some of the retail movement that you're seeing is also part of the -- what we're seeing that caused us to raise our sales guidance.
David Driscoll - Citigroup Inc, Research Division: Very clear. Final question for me. J.P., did you say that Brookside was temporarily capacity constrained? I think you were saying that by -- the comment about the phasing of when capacity comes on and how amazing the repeat rates have been. But was the conclusion that may be for a very short period of time here, it's been a little bit capacity-constrained, but that goes away going forward?
John P. Bilbrey: Well, so far, David, we've been able to make it broadly available, but we've had to be very conscious about doing that. So we could, at this point in time, be merchandising the brand more aggressively than we currently are so that we can make the brand broadly available, and our capacity ensures that people can begin activating at a greater rate than they are today. We haven't been creating out of stocks as the brand has been available, but we've just been measured to make sure that everybody that wants it can get it, and then we do believe as we go further throughout the year, our capacity catches up. And obviously, we would love nothing more than to be creating even additional capacity if that's what's required.
Operator: Your next question comes from the line of Jason English with Goldman Sachs.
Jason English - Goldman Sachs Group Inc., Research Division: A couple of questions. First, on your international growth, it remains really robust. Now you've talked about M&A as an enabler of expansion in the past. Given your organic success, is it causing you to revisit the prioritization of M&A?
John P. Bilbrey: I don't think so. We really look for opportunities to build capabilities, and the capabilities would be around distribution, manufacturing, and if appropriate, certainly, brands. So it's really a parallel effort for us. And kind of to the other question around raise the assets, we think what's really important is regardless of any assets we would look at, having the ability to execute our model to build awareness and build brands is really what we believe is the right way to succeed. So I hope that we'll continue to be able to assess things we think are good for our company as we look at different opportunities, and at the same time, we're going to make the right investments around growing our business organically.
Jason English - Goldman Sachs Group Inc., Research Division: Back to the U.S. real quick. I just talked with a few people in the industry recently who've expressed some concern about the impact of front-of-pack labeling and what it may mean to the growth trajectory. What have you learned from other markets, where this has been implemented for a number of years? Have you seen an impact on growth rates? Do you think it could impact the growth rate for the category of your business as you roll this out?
John P. Bilbrey: Yes. As we've looked at the data on front-of-pack labeling, there does not seem to be a negative effect because there's front-of-pack labeling. And conversely you could probably say the same thing. As a company, we're not against what I would describe a right to know what is in the food of the consumers. It's a fairly logical question. How you execute against that and how you remain contemporary with questions consumers may have is what I think will be important over time. GMA is certainly looking at this. Our specific industry is looking at this. And as you get into the smaller pack types, you really have to ask yourself how meaningful or how much clutter can be added to the front-of-the-pack versus branding. So we're a branding-driven company. We wouldn't want to see things that de-track from branding, but frankly, I don't think the initiatives that we've seen today really do that. But what we have to be careful of is, is the intent of these things really driven at creating clarity in decision-making for consumers or are there other types of things that play in and so we're supportive of the efforts that GMA has put forth so far. At the same time, it's my personal opinion that there are probably more elegant solutions of how we create, call it, a portal or a place for consumers to go to, to better understand food with facts that are supported by generally accepted science so that they get the right information and can make the best decisions.
Operator: Your next question comes from the line of John Baumgartner with Wells Fargo.
John J. Baumgartner - Wells Fargo Securities, LLC, Research Division: Thinking about the alliance with Ferrero here, any updates there in terms of activities or progress on that front?
John P. Bilbrey: Well, the project that we've talked about is, is that we have this joint distribution project in Canada. It's really driven by a pre-competitive type of agreement, where we can create efficiencies around the supply chain. And at this point in time, that's really what we've worked on there. And as you see around the world, there are different alliances and things that manufacturers look at that are all pre-competitive that may make sense, be it packaging, purchasing and other types of things. And so we're very open-minded to those things on a going basis.
Operator: Your final question comes from the line of Ken Goldman with JPMorgan.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Really quick, I know everyone wants to jump onto a different call here. You said the chocolate category in China, if I heard you correctly, is up 11% year-to-date. Is that a slowdown in any way? I thought, last year, maybe it was up closer to 15%, but I just wanted to make sure of that data.
John P. Bilbrey: Ken, I don't have the exact number there. I'm more than happy to get it to you via Mark following the call. I think that the important thing to think about with China is, is that, today, there's maybe 300 million or 400 million people that participate in the category versus the total country. And so we believe brand awareness, category building is still very, very relevant and strong in China over time. So if there was a short-term change, I wouldn't read frankly anything into it and it certainly doesn't change in any way how we think about the potential of the market.
Mark K. Pogharian: Thank you for joining us on today's conference call, and we'll be available for any follow-up questions that you may have. Enjoy the rest of the day.
Operator: This concludes today's conference. You may now disconnect.